Operator: Hello, ladies and gentlemen. Thank you for standing by for 36Kr Holdings Inc. First Quarter 2023 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded.
 I would now like to turn the conference over to your host, [ Jiaochen Yen ], IR Manager of the Company. Please go ahead, [ Jiaochen ]. 
Unknown Executive: Thank you very much. Hello, everyone, and welcome to 36Kr Holdings first quarter 2023 earnings conference call. The company's financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section on our website at ir.36kr.com. 
 Participants on today's call will include our Co-Chairman and CEO, Mr. Dagang Feng; and our CFO, Ms. Lin Wei. Mr. Feng will start the call by providing an overview of the company and performance highlights of the quarter in Chinese, followed by an English interpretation. Ms. Wei will then provide details on the company's financial results, before opening the call for your questions.
 Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today.
 Further information regarding these and other risks and uncertainties is included in the company's prospectus and other public filings as filed with the U.S. SEC. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law.
 Please note that 36Kr's earnings press release and this conference call include discussions of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. 36Kr's earnings press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. And please note that all amount numbers are in RMB.
 I will now turn the call over to our Co-Chairman and CEO, Mr. Dagang Feng. Pal, please go ahead. 
Dagang Feng: [Interpreted] Thank you. Hello, everyone. Thank you for joining our first quarter 2023 earnings conference call. As the pandemic's impact faded away, we are delighted to report stellar financial results, delivering double-digit revenue growth in the first quarter of 2023. Our total revenue reached to RMB 55.5 million, up 12% year-over-year, with extensive growth across all 3 of our primary business segments.
 For our segments, our Advertising revenue reached RMB 41.9 million, up 11% year-over-year. Our Enterprise Value-Added Services delivered revenue of RMB 10.0 million, up 7% year-over-year. And revenue from our Subscription Services jumped 36% year-over-year. These achievements across the board are the direct result of our consistent efforts in forging ahead with content, product and technologies, ushering in a new phase of high-quality business growth.
 Let me start with content. As we expanded our content coverage to new industries, we also continued to direct more attention to leading enterprises and major events, while stepping up our output of exclusive reports, offering users a holistic and insightful professional content experience. The number of our blockbusters that are topping is on the rise.
 In the first quarter, we had around 160 articles with PVs exceeding 100,000, many of which covered heated topics and which have more than 200,000 page views, including a story featuring Robin Li, founder of Baidu; an article on TikTok CEO, Shou Zi Chew, face off with the U.S. Congress; and the piece covering the 24 hours after Silicon Valley Bank collapsed is hitting over 200,000 page views.
 These thought provoking articles, among others, showcased 36Kr's leading insights and industry influence. Our enhanced content influence also contributed to significant growth in our user base. As of the end of the first quarter, we had more than 29 million followers, up 22% year-over-year.
 Since the beginning of 2023, we have been closely following the latest developments in booming industries, including generative AI and large language models. In response to current trends, we soon launch the new WeChat account that merges intelligence to provide in-depth coverage on the AI areas transformation across multiple industries.
 In the first quarter, we also rolled out PowerOn, a WeChat account focusing on the evolution of the auto industry enabled by intellectualization and new energy text. These 2 verticals have laid a solid foundation for us to advance our ongoing initiatives in AI and the EV sector, further enhancing our growth potential.
 In addition, many long anticipated industry events are finally underway. 36Kr has been on the front lines covering the latest developments on-site through multiple channels, such as breaking news, photo galleries and on-site video reports. Notable examples from the first quarter include CES, MWC and AWE.
 Specifically, we leveraged our first-hand perspective of the Shanghai Auto Expo to deliver comprehensive in-depth reports on the exhibition as well as new car model comparisons, various auto enterprises from home and abroad, the differentiation between traditional vehicles and EVs and a broad cohort of industry VIPs.
 We also took this opportunity to roll-out and upgrade to 36Kr's auto content metrics with our PowerOn WeChat account, Future Auto Daily WeChat account and the WeChat Video account titled 36Kr Auto. These channels not only delivered rich insightful content to users, but also allows us to tap into the EV market's strong growth momentum and massive market potential, accelerating our electric vehicle industry coverage to ultimately generate greater revenue upside.
 I also want to highlight our short video business. In the first quarter of 2023, we built upon an outstanding content generating and production capabilities, driving huge surge in user numbers. Our number of short video followers exceeded 8 million, a remarkable 42% year-over-year increase. 36Kr became the first ever industry pioneer in using AI technologies to create an e-commerce store throughout the whole process.
 The AI Taobao store LumiWink is in operation now and the AI design products are popular. These are convincing demonstrations of our AI tech sensitivity and foresight. For instance, our original video AI opened a Taobao with AI robots, which features the key steps of 36Kr's experimental opening of our Taobao stores using AI technologies, including naming and establishing the store product design, image generation and copyrighting.
 The AI technologies greatly improved efficiency while reducing costs of the store's operations. This original video was listed as hot and trendy by Bilibili, Weibo and Toutiao and attracted over 35 million clicks and more than 80,000 likes. It also triggered continued official follow-ups on this topic by Taobao. The organic combination of know-how expertise and AI technologies diversified our revenue-generating channels, unlocking more value for our company.
 In addition, we have made major strides in long video content production and recently launched our first talk show for season 2023. In the first season, I conducted in-depth interviews with industry tycoons, including Robin Li, founder of Baidu; [ Shi Wang ], founder of China Vanke; James Liang co-founder of Trip.com Group; Jiangming Zhu founder of Leapmotor; and Zhenyu Luo founder of Dedao, captivating audiences with fascinating insights into the future.
 Foreseeing 2033, we're simultaneously live streamed on Youku station -- video and television station and HUNAN BROADCASTING SYSTEM, marking our success in building a full coverage content dissemination network with long video platforms and TV channels.
 These add to our established and growing reach across social media outlets, expanding our content landscape and closed-loop ecosystem, which further enriches 36Kr's content ecosystem and encourages synergies among our diverse formats, including long- and short-form videos as well as text, graphics and audio mediums, unlocking our further growth potential.
 In terms of products, we further improved the 36Kr Venture Capital platform's ability to notify and approach end users, including entrepreneurs and investors in the first quarter. In addition, we fully upgraded a featured mini program by enhancing the operations and recommendations in highly specialized and innovative enterprises, popular deals and created portfolios.
 The platform's key indicators all substantially increased, including [ matching fees paid ], number of active investors and new entrepreneurs as well as platform traffic. In the first quarter of 2023, the 36Kr Venture Capital platform efficiently connected over 5,000 tech start-ups with funding investors, providing valuable support for their growth.
 Before I move on to commercialization, let me briefly update you on our AIGC initiatives. Over the years, 36Kr has always paid close attention to the most advanced frontiers of tech development. As AIGC technologies evolved, we leveraged its natural fit with the content production and actively applied generative AI text to our business, integrating these technologies with our content ecosystem and product R&D.
 We focused on actively integrating AI text into image generation, text translation, data collection and other areas, as well as leveraging AI text to open the Taobao store, as I just mentioned, for higher production efficiency, lower operation cost and revenue increase.
 This enterprise service revenue platform also quickly adopted AIGC text to provide our users with more precise and efficient overall product information and decision-making support. And we implemented chatbot technology for smart, efficient customer service.
 In summary, we fortified our content ecosystem, accumulated product advantages and increased ourselves with AI text during the quarter. These advances consistently boosted our commercialization capabilities and have enabled our steady revenue growth.
 Next, I'd like to share the details of our commercialization progress. In the first quarter of 2023, our total revenue increased by 12% year-on-year to RMB 55.5 million and we achieved growth across all 3 of our primary business segments. Notably, our Advertising revenue reached RMB 41.9 million, up 11% year-over-year. The number of advertising customers grew to 147, up 9% year-over-year with ARPU increasing to RMB 285,000, up 2.3% year-over-year.
 Leveraging our deep understanding on customers' brand positioning on target audiences, 36Kr offers one-stop marketing solutions centered on branding and expertise. In the first quarter, many tech giants and global 500 companies renewed their annual service contracts with us. At the same time, we also expanded our customer base amongst small and medium-sized enterprises. On top of that, we received recognition from global giants such as Amazon, Meta and Tesla for the notable results they achieved from improved brand communications based on our forging brand globalization initiative camps.
 For instance, for Meta, we invited experts in global business expansion to conduct speeches and interviews with companies to exchange ideas about brand globalization and connect Chinese companies with overseas platforms, lending both sides a bigger voice in brand communications.
 In addition, we've ventured into new industries and joined hands with Gree, creating potential revenue upside in the home appliance industry. We also renewed contracts with top brands, including Samsung, Haier, Midea and Joyoung. These achievements confirmed our advertising and marketing expertise while also demonstrating our strong capabilities in expanding and enhancing constructive partnerships.
 Our short video business also delivered another quarter of stellar results. We launched an array of popular programs covering diverse topics, including technological innovation business insights and lifestyles. These programs drew us both praise and recognition from advertisers in various sectors, including our first quarter short video customers, such as Hewlett Packard, Huawei, Intel and China Jingjiu.
 Among these programs, we partnered with Qualcomm Snapdragon to help them fully showcase and disseminate Snapdragon products, while compelling communications, including behind-the-scenes stories and KOL marketing, lifting our contract size to another new record high.
 With respect to Enterprise Value-Added Services, we experienced a rally in various businesses, including offline events and activities as the pandemic receded, driving revenue up 7% year-over-year to RMB 10.0 million during the first quarter. Also to capitalize on the rise of AI, large language models, we hosted the all-new WISE 2023 AIGC Summit, sharing ideas with various AI industry giants, including Microsoft, iFLYTEK, Baidu, SenseTime and other leading enterprises to explore the road ahead for the AIGC industry as next-generation technologies take hold, further enhancing 36Kr's industry influence and delivering positive commercialization results.
 On integrated marketing side, in the first quarter, we continue to expand our service content, providing diversified offerings, including agency service operations for both original WeChat accounts and original video platforms as well as KOC businesses. These new features facilitated the continued expansion of our customer base. We also entered into cooperation agreements with renowned companies, including [ Yaapi ] and Huatai Securities, spurring an increase in our integrated marketing revenue.
 As for Subscription services, we continued to optimize our membership system and subscription products, substantially increasing our revenue scale by 36% year-over-year. We paid particular attention to the optimization of 36Kr business school, actively developing growth-oriented entrepreneurship courses by improving course design and training programs, while increasing class frequency, which vastly raised the ARPU of our individual subscription services to RMB 150,000.
 Last but not the least, I'd like to share an update on the 36Kr Enterprise Services review platform. In the first quarter of 2023, we continued to improve and optimize its product library, adding basic information such as product reference cases, pricing and parameters.
 We also completed product mapping in 9 core areas, including SCRM, new retail and e-commerce, increasing our product classification accuracy rate to over 95%. Furthermore, while optimizing the platform functions, we revamped the interfaces of both PC and mobile devices.
 By further improving the reading module and search functions, we made the product more accessible and easier to use. As a result, the conversion rate from platform business to a more profile creation nearly doubled year-over-year. In addition, we adopted AIGC text to automatically generate product descriptions and responses to user inquiries. With this support in enhancing user experience, our platform's operational efficiency increased by over 10x year-over-year.
 In short, our ongoing product function enhancements have comprehensively improved the convenience, efficiency and intelligence level of the 36Kr Enterprise Services review platform, reflected by rapid growth in its operating metrics across the board.
 As of the first quarter of 2023, the cumulative number of reviews exceeded 60,000, up 198% year-over-year. The cumulative number of products on the platform reached nearly 9,000, up 55% year-over-year, and the number of merchants on the platform topped 1,200, doubling year-over-year.
 In terms of commercialization, this quarter, we implemented our next iteration of commercialization for the 36Kr Enterprise Services review platform, building upon the existing offerings of brand promotion and content marketing. We reinforced our integrated service capabilities and successfully built an all-new business model featuring lead generation and commission services, further empowering enterprise customer acquisition and decision-making support.
 Our new profit generating model has begun to bear fruit as we have received payments from 12 SaaS enterprises. Going forward, we will further enhance the platform service capabilities and provide enterprise customers with more secure, efficient services, transforming corporate decision-making by enhancing corporate digital awareness and realizing smartification of the decision-making process.
 As we embark on our new journey in 2023, we are excited to welcome a new era of growth and development. The latest AI large language model and latest development of next-generation innovative technologies provide us with significant catalysts for growth in the new economy sector. As the businesses have viewed this platform supporting newer insights, 36Kr will directly benefit from this historical opportunity and deliver disruptive growth across our 3 core business segments in content, product and commercialization as a prominent brand and a pioneering platform dedicated to serving new economy participants in China.
 As they are gearing up for more impressive growth in our core business segments, we are committed to stepping up our capabilities in the creation of high-quality content, further expanding the depth and breadth of our business and actively exploring product innovation. We will also tap into new opportunities to advance and apply innovative technologies such as AIGC to drive revenue growth and enhance our profitability, thereby generating long-term sustainable value to shareholders, customers and society as a whole.
 With that, I will now turn the call over to our CFO, Ms. Lin Wei, who will discuss our key financial results. Please go ahead, Lin. 
Lin Wei: Thank you, Pal. Now I'd like to walk you through more details of our first quarter 2023 financial results. Please note, all amount numbers are in RMB, unless otherwise stated.
 Total revenues were RMB 55.5 million in the first quarter of 2023, an increase of 12% compared to RMB 49.6 million in the same period of last year. Online Advertising Services revenue increased 11% year-over-year to RMB 41.9 million in the first quarter of 2023. The increase was primarily attributable to more innovative marketing solutions as well as a gradual recovery in market demand in the first quarter of 2023.
 Enterprise Value-Added Services revenue increased 7% year-over-year to RMB 10 million in the first quarter of 2023 as we continuously developed various proactive enterprise level services for our customers. Subscription services revenues increased 36% year-over-year to RMB 3.6 million in the first quarter of 2023. The increase was primarily attributable to our continuous efforts in high-quality subscription models to our subscribers.
 Cost of revenues was RMB 32.4 million in the first quarter of 2023 compared to RMB 23.9 million in the same period of last year. The increase was primarily attributable to higher fulfillment costs and content costs.
 Gross profit was RMB 23.1 million in the first quarter of 2023 compared to RMB 25.7 million in the same period of last year. Gross profit margin was 42% in the first quarter of 2023 compared to 52% in the same period of last year. The decrease was primarily attributable to the resumptions of offline events and offline training courses in this quarter, which accrued higher fulfillment costs as well as the cost of some new content we produced this quarter, such as video program Foreseeing 2033 and so on. We believe this is more of a one-off scenario and we expect gross profit margin to rebound back to the 50% range as commercialization of this new content kicks in and revenues continue to grow in the coming quarters.
 Operating expenses was RMB 63.6 million in the first quarter of 2023 compared to RMB 33.4 million in the same period of last year. Sales and marketing expenses was RMB 31 million in the first quarter of 2023 compared to RMB 29.7 million in the same period of last year. The increase was primarily attributable to the increase in payroll-related expenses, partially offset by the decrease in marketing-related expenses.
 G&A expenses was RMB 17.2 million in the first quarter of 2023 compared to negative RMB 10 million in the same period of last year. The fluctuation was primarily attributable to the release of allowance for credit losses of RMB 32.9 million in the same period of last year, which was mainly due to the cash collection from accounts receivables fully impaired in previous year. Excluding such financial items impact, our G&A expenses actually went down by approximately 25% year-over-year thanks to various cost control measures we rolled out.
 Research and development expenses were RMB 15.5 million in the first quarter of 2023 compared to RMB 13.8 million in the same period of last year. The increase was primarily attributable to the increase in payroll-related expenses. Share-based compensation expenses recognized in cost of revenues, sales and marketing expenses, G&A expenses as well as R&D expenses totaled RMB 1.9 million in the first quarter of 2023 compared to RMB 4.1 million in the same period of last year.
 Other income was RMB 1.2 million in the first quarter of 2023 compared to RMB 40.3 million in the same period of last year. The decrease was primarily because the company recognized approximately RMB 38 million of gain arising from disposal of a subsidiary in the same period of last year.
 Net loss was RMB 39 million in the first quarter of 2023 compared to net income of RMB 32.6 million in the same period of last year. Non-GAAP adjusted net loss was RMB 37.1 million in the first quarter of 2023 compared to non-GAAP net income of RMB 36.7 million in the same period of last year. Net loss attributable to 36Kr's ordinary shareholders was RMB 38.4 million in the first quarter of 2023 compared to net income attributable to 36Kr's ordinary shareholders of RMB 33 million in the same period of last year.
 Basic and diluted net loss per ADS were both RMB 0.92 in the first quarter of 2023 compared to net income per ADS of RMB 0.80 in the same period of last year.
 As of March 31, 2023, the company had cash, cash equivalents, restricted cash and short-term investments of RMB 170 million compared to RMB 185 million as of December 31, 2022. The decrease was mainly attributable to the payment of year-end employee bonuses and benefits as well as a small sized investment we made in the new economy start-up company in the first quarter of 2023.
 This concludes all of our prepared remarks today. We will now open the call to questions. Operator, please go ahead. 
Operator: [Operator Instructions] Your first question comes from Jing Chen from CICC. 
Jing Chen: [Foreign Language] I have 2 questions. The first is, how is the advertising business recovering in the second quarter and the 618 e-commerce festival. And what is the outlook for the recovery of advertising market and the company's advertising business? 
 And my second question is what are the plans to further develop the growth potential of short video business, given its strong growth in the past? And we see -- we also launched long video content. And how do you consider the exploration of diversified content formats? 
Dagang Feng: [Interpreted] In the first quarter, we were delighted to see that our advertising business was on the road to recovery with revenue increasing by 11% year-over-year, delivering growth in both number of customers and ARPU. 
 As the market began to pick up, demand for advertising gradually increased. Moreover, our advertising solutions centered on branding and efficacy, earned us the continuous trust and support of our customers and we delivered steady business growth.
 This year's advertising business was the 618 grand promotion fared better than 2022. For example, e-commerce giants, including Taobao and JD.com placed advertisements on our platform. And 618 grand promotion advertising is mainly GMV oriented. Some advertisers preferred to utilize platforms with more heavily concentrated traffic. However, as an important brand marketing platform, we successfully channeled [Technical Difficulty] e-commerce [indiscernible] in our advertising industry.
 We remain cautiously optimistic about the broader advertising industry in the second quarter and full year 2023. The post pandemic recovery was not as rapid as expected and needs more time to observe. Fortunately, 36Kr as part of the new economy sector, we are uniquely positioned to benefit from our advantages in this market environment. For instance, we observed steady growth in demand from FMCG, VC companies and Chinese enterprises expanding overseas.
 We will provide more appealing, differentiated advertising products and services to support the booming new economy sector, including further enhancing our short video offerings. We believe 2023 presents both opportunities and challenges, and that our advertising business remains on track to achieve solid growth.
 We launched a series of original short video that cover diverse topics, including technological innovation, business insights and lifestyle with a goal of fully engaging our users. By the end of the first quarter, we had over 8 million short video followers. At the same time, we kept launching innovative offerings. Recently, we launched our long video program, Foreseeing 2033, a show featuring in-depth interviews with industry tycoons. This was a milestone for us in building a brand-new full coverage content dissemination network with long video platforms and TV programs.
 Regarding our commercial cooperation agreement for creative brand marketing, our work was recognized by high-profile customers from various sectors, such as Qualcomm, Hewlett Packard, Huawei, Intel and China Jingjiu. The success of our program supported deeper collaboration with some of our partners, including Qualcomm's Snapdragon, with whom we secured another new record high in terms of contract size.
 AIGC technology provides us with an excellent opportunity for the company to further diversify exploration of company bonds. 36Kr applies AIGC technologies such as text generation from graph, graph generation from text and video generation from text and graphics and et cetera, which greatly promotes the enrichment of content ecosystem. As the platform empowering the new economy, 36Kr will directly benefit from this technological advancement. We will explore diversified revenue generation channels while exploring content ecosystem. 
Operator: Your next question comes from Lingyi Zhao from SWS Research. 
Lingyi Zhao: [Foreign Language] Essentially, first quarter GP margin decreased year-on-year and quarterly. How should we understand that, the changes in margin this quarter? And could you share some outlook of long-term changes in GP margin? 
Lin Wei: That's a really good question. This is Lin. I will address this question. I think there are several reasons resulting in the gross margin fluctuation. First of all, as you know, as the pandemic receded, we are resuming a lot of offline businesses, including offline events and offline training courses. So obviously, there will occur more offline costs such as hotel, venue fees and on-site setup fees and things like that. So compared to a year ago, there will be more offline costs.
 And secondly, as we introduced in our prepared remarks, we also produced some new content columns, namely Foreseeing 2033, the video program, as well as the new EV content metrics such as PowerOn, et cetera.
 So those content production also occurs costs. Variable costs are mostly recognized immediately in this quarter rather than amortized over the year. So I think as we -- gradually the commercialization of those content kick-in, the gross margin will definitely come back.
 And there is another reason, too. The third reason is Q1 really is our lowest seasonality during the year. So if you look at our previous years, Q1 to Q4, our revenue will consecutively go up. So as the coming quarters in the year, as our commercialization kicks in, I think the gross margin will come back to the 50% range level. I think more long term with our new initiatives like the long-form video as well as our 36Kr Enterprise review platform, et cetera, I think that gross margin will continue to improve in the long term.
 So to sum up, I think the Q1 gross margin is really a one-off scenario rather than a recurring gross margin level. In the coming quarters that will bounce back. I think this helps to answer your question, Lingyi. 
Operator: Your next question comes from Rui Yin from Sealand Securities. 
Rui Yin: [Foreign Language] I'll translate myself. What measures are we taking to enhance customer stickiness or enhance -- increase customer payment rates? 
Lin Wei: I will briefly answer your question. In terms of -- in the number of clients and also the customer engagement, we mainly have 2 -- have 3 major measures rolled out to address that. First of all, our content is our major competence. We continue to expand our service content, increasing our in-depth coverage of top players and advancing the breadth of exclusive reports. 
 Our distinct content covers extensive areas, including AI and hardcore technologies as well as highly specialized and innovative enterprises, those small and medium enterprises, health care and new energies. So with the content category can continue to expand our customer base, we will naturally expand as well. That's number one.
 And number two, on the product side, we are really very proactive on the production side. For example, our short-form video as well as our newly launched long-form video has become a key component of our product metrics. Those metrics have helped us to not only grow our advertising customer portfolio, but also our enterprise value-added services client pool.
 On the enterprise value-added services side, we not only have IP-ed events like Wise, AIGC conferences, things like that, but also we have integrated marketing as well as some other new initiatives, including our business school project. We launched some individually high ARPU training courses and programs in the first quarter. If you look at our video subscriptions, ARPU level that has increased significantly to -- close to RMB 150,000. That's a very remarkable growth.
 And the third category is we are also expanding geographically on the sector side. For geographic expansion, we now not only have headquarters in Beijing, but also headquarters in South China, namely Shenzhen. And on top of that, we have 12 regional offices in all major -- the major cities in China like Hangzhou, Chongqing, Hefei, Qingdao and Jiangsu and those areas.
 So we are actively penetrating into low-tier cities and expand to those markets. And our clients in those areas not only cover the business side, but also on the government side. We work with a lot of local governments to expand their local business. That will grow again our relationship with the government as well as local key accounts there.
 So that's the 3 major solutions we are looking at our -- grow our customer base as well as customer engagement. 
Operator: Your next question comes from Peipei Qiu from Industrial Securities. 
Peipei Qiu: [Foreign Language] I will translate the question. Could you give us more detail about your strategy or plan of using AI? And are you already using any large model in daily content production? And what kind of financial benefits could we expect for this application? 
Dagang Feng: [Interpreted] So on the platform, the general content of the new economy sector is a natural fit in 36Kr's AIGC technologies supported by the emergence of intelligent large language models. We are benefited in various ways by seamlessly integrating AIGC technologies with a variety of business areas. 
 AIGC text enhances the efficiency of our content production while saving cost across the board. For instance, as we integrated AIGC text into next generation text translation, consulting and data collection, this saves across manual effort and time. Moreover, we will be able to provide more personalized user engagement. We achieved overall cost reduction and enhanced the efficiency of our business.
 36Kr became the first ever industry pioneer using AI text to create an e-commerce store throughout the whole process.
 The AI Taobao store, LumiWink, is in operations now and the AI designed products are ready for [ launch ]. These are convincing demonstrations of our AI text sensitivity and foresight.
 Our original video opened a Taobao store with AI robots, which features 36Kr's experimental opening of our stores using AI text, including naming and establishing the stores and product design, image generation and copywriting. This original video also triggered continued official follow-ups on this topic at Taobao.
 The organic combination of know-how expertise and AI text diversified our revenue-generating channels. The large language models have been the most disruptive technology revelation in recent years and it may trigger the most extensive industrial innovation ever since mobile, Internet. It’s revenue opportunity and growth momentum to the new economy sector.
 As a prominent brand, as a pioneering platform dedicated to serving new economy participants in China, we will directly benefit from this new evolution. Going forward, we will continue to provide users with high-quality content driven by advanced AIGC technologies and more thoroughly integrate AIGC text with content production. That's my question -- or that's my answer. 
Operator: Your next question comes from [ Shaw Kang Chen ] from Great Wall Securities. 
Unknown Analyst: [Foreign Language] 
Dagang Feng: [Interpreted] Going into 2023, we were able to resume hosting offline events and activities as before in summits, forums and fireside chats. A case in point is our recently launched all new summit IT, the Wise 2023 AIGC Summit. As COVID faded away, we managed to optimize our B school product design and training programs. Through organizing offline B school courses, our ARPU of individual subscription services increased substantially to RMB 150,000. 
Operator: Thank you. As there are no further questions, I'll now like to turn the call back over to the company for closing remarks. 
Unknown Executive: Okay. Thank you all for participating in today's call. If you have any further questions, please feel free to contact our Investor Relations team. Thank you again. 
Operator: This concludes this conference today. You may now disconnect your lines. Thank you.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]